Operator: Good afternoon and welcome to Identiv's presentation of its second quarter 2025 earnings call. My name is Matthew, and I'll be your operator this afternoon. Joining us for today's presentation are the company's CEO, Kirsten Newquist; and CFO, Ed Kirnbauer. [Operator Instructions] Before we begin, please note that during the call, management may be making references to non-GAAP financial measures or guidance, including non-GAAP adjusted EBITDA, non-GAAP gross profit, non-GAAP gross margin and non-GAAP operating expenses. In addition, during the call, management will be making forward-looking statements. Any statement that refers to expectations, projections or other characteristics of future events, including future financial results, future business and marketing conditions and opportunities, strategic partnerships and collaborations and any related benefits and attributes and future plans, strategies, opportunities and goals is a forward-looking statement. Actual results may differ materially from those expressed in these forward- looking statements. For more information, please refer to the risk factors described in the documents filed from time to time with the SEC, including the company's latest annual report on Form 10-K as well as our second quarter 10-Q once filed. Identiv assumes no obligation to update these forward-looking statements. I will now turn the call over to CEO, Kirsten Newquist for her comments. Ms. Newquist, please proceed.
Kirsten F. Newquist: Thanks, operator, and thank you all for joining our Quarter 2 2025 Earnings Call. Before we begin, I'm very pleased to announce that Ed Kirnbauer has been officially appointed Chief Financial Officer by the Identiv Board of Directors. Ed has been serving as acting CFO since last month and today's announcement marks his permanent transition into the role. Ed has been with Identiv since 2015, most recently serving as our Global Corporate Controller. He also stepped in as Interim CFO in late 2021. Prior to joining Identiv, Ed held senior finance positions in the technology and manufacturing sectors and began his career at KPMG. We're excited to welcome him into this leadership position as he continues to bring deep expertise and steady guidance to our finance organization. Now turning to our second quarter business update. We continue to see macro trends driving strong demand for RFID and next- generation technologies like BLE, even amidst ongoing global market volatility. Businesses are seeking deeper intelligence into their operations and customer engagement to strengthen their competitive position and better differentiate their offerings. Identiv is enabling that deeper intelligence as we help our customers add digital identities to physical products through RFID. This increased demand is being accelerated by several key factors. The rapid expansion of IoT-connected devices, evolving regulatory landscapes, rising anti-counterfeiting pressures and the growing global emphasis on sustainability. RFID and related technologies generate the real-world data needed to power digital transformation and increasingly AI. As businesses adopt AI to improve forecasting, logistics and operations, they need accurate real-time data from the physical world. Our products serve as a critical bridge, turning physical items into data generating assets. Identiv is helping to lead this transformation. Our specialized IoT inlays, tags and labels provide digital IDs that solve real-world challenges across sectors from cold chain logistics to smart packaging to health care and consumer electronics. Our devices enable real-time tracking, condition monitoring, compliance, security and more engaging consumer experiences. Financially, our quarter 2 revenue was $5 million, within our previously announced guidance. Our core channel business remains on track, though we are seeing increased competition, particularly within our standard product lines, where several competitors have recently expanded manufacturing capacity. We are also closely monitoring macroeconomic risks, particularly regarding U.S. trade with Thailand. On July 31, the White House announced a 19% tariff on imports from Thailand. This was generally seen as a positive for electronics manufacturers based in Thailand as it is a significant reduction from the previously announced 36% rate and positions Thailand as a reliable manufacturing alternative to China. However, the requirements around the amounts of Thailand-made components needed to obtain a Thailand certificate of origin is still a source of uncertainty, particularly with new U.S. measures aimed at preventing transshipment. As we noted on our May call, approximately 1/4 of our business is exposed to U.S. import tariffs due to our manufacturing footprint in Thailand. We developed a responsible pass-through strategy to protect margins and to date, all affected customers have agreed to absorb the additional costs. The potential indirect effect on customer demand, especially in more discretionary segments is less clear. A key highlight this quarter. Earlier this week, we announced a strategic partnership with grocery logistics leader IFCO, to enhance traceability, efficiency and sustainability across the fresh grocery supply chain. IFCO is the world's leading provider of reusable packaging solutions for grocery products, and we have been closely collaborating with the IFCO team for several months to develop and launch a BLE smart label that will enable real-time tracking and temperature monitoring of IFCO's extensive global pool of reusable packaging containers, RPCs. With over 400 million RPCs in circulation, the value expected to be provided by our smart label in reducing the waste of fresh produce is significant. The goal is to tag the entire pool of 400 million-plus RPCs over the next 4 to 5 years, representing a major volume opportunity. This initiative is a top strategic priority as we are currently producing prototypes for pilot-scale runs and expect to begin mass production in 2026. Operationally, we achieved a major milestone in quarter 2 by completing the transfer of production from Singapore to our lower- cost facility in Thailand. All customers have been successfully requalified, and the Thailand team is progressing well towards full productivity by early next year. A small transition team remains in Singapore, to manage the site closure and support continued training in Thailand. Strategically, we are now 6 months into executing our Perform-Accelerate-Transform, P-A-T strategy. The key objectives of P-A- T are: One, to strengthen and optimize the performance of our core channel business; two, accelerate our growth through high-value applications; and three, ultimately transform Identiv into a market leader of specialty IoT solutions. We've made measurable progress across all three pillars this quarter, and I will provide more detail after Ed reviews the financials. In closing, despite a challenging macro backdrop, we believe our customers clearly see the value Identiv provides. Our specialized IoT tags, inlays and labels are not only enabling digital transformation but are solving real-world industry challenges. These long-term trends not only remain intact, and, in many ways, are accelerating. As a focused pure-play IoT solutions company, we are executing our P-A-T strategy with discipline, and we believe this positions us well for sustainable long-term growth. Ed, over to you.
Edward Kirnbauer: Thanks, Kirsten. Having been with Identiv for nearly 10 years, I'm excited to move into the CFO role at this transformative time in our company's history and look forward to meeting with the investment community in the upcoming months. In the second quarter of 2025, we delivered $5.0 million in revenue, which was within our previously announced guidance range, compared to $6.7 million in Q2 2024. This year-over-year decrease was due to lower sales of RFID transponder products as we continue to exit lower-margin business and reduced sales to our largest customer who is working through inventory they built up in 2024 in anticipation of transitioning production to Thailand. Second quarter GAAP and non-GAAP gross margin was negative 9.4% and negative 0.8%, respectively, compared to GAAP and non-GAAP gross margin of 9.1% and 14.6%, respectively, in Q2 2024. Factors impacting the decrease in gross margin included incremental costs related to the transition of production to Thailand and the dual manufacturing sites required during that transition as well as decreased utilization due to lower year-over-year revenues. In addition, we recorded adjustments, which included approximately $0.6 million associated with obsolete inventory at our Singapore facility. As Kirsten mentioned, we have completed production of RFID devices in Singapore and requalified our customers in our Thailand production facility. Facility shutdown activities in Singapore are progressing as planned and are expected to be substantially completed by year-end. GAAP and non-GAAP operating expenses for the second quarter of 2025, including research and development, sales and marketing, and general and administrative expenses totaled $5.9 million and $4.5 million, respectively, as compared to $7.3 million and $4.7 million, respectively, in Q2 2024. The year-over-year decrease in GAAP operating expenses was driven primarily by a reduction in onetime strategic review related costs. The decrease in non-GAAP operating expenses reflects management's targeted resource allocation to support the company's organic growth initiatives as outlined in the P-A-T strategic framework. Second quarter GAAP loss from continuing operations was $6.0 million or $0.26 per basic and diluted share, compared to GAAP net loss from continuing operations of $6.9 million or $0.31 per basic and diluted share in the second quarter of 2024. This decrease in net loss was primarily due to strategic review-related costs of $1.6 million incurred in the second quarter of 2024 that did not recur in the second quarter of 2025, and unrealized foreign currency losses of $0.9 million, partially offset by interest income of $1.3 million. Non-GAAP adjusted EBITDA loss for Q2 2025 was $4.6 million compared to $3.7 million in the second quarter of 2024. The decrease was primarily due to Thailand transition costs and adjustments for obsolete inventory at our Singapore production facility. In the appendix of today's presentation, we have provided a full reconciliation of GAAP to non-GAAP financial information, which is also included in our earnings release. Moving now to the balance sheet. We exited Q2 2025 with $129.6 million in cash, cash equivalents and restricted cash. In the second quarter of 2025, we used $3 million in cash. This brings our total net operating cash use for the 9 months following September 30, 2024, to $10.3 million. Previously, we expected net operating cash used for the 12-month period following September 30, 2024, to be in the range of $14 million to $16 million. Given our cash usage through Q2 2025 and current expectations for Q3, we are revising this range to $13 million to $15 million for the period ending September 30, 2025. Our working capital exiting Q2 was $137.5 million. Our balance sheet position remains strong, enabling us to pursue our organic and inorganic growth initiatives within the P-A-T strategic framework. In our 10-Q filing, we will be providing a full reconciliation of the year-to-date cash flows. For completeness, we have included the full balance sheet in the appendix of today's earnings release. Lastly, our financial outlook. We're continuing to monitor macroeconomic risks, particularly those related to U.S. trade with Thailand, as Kirsten mentioned. We're also looking at any indirect impacts these risks could have on customer demand and project time lines. In addition to these risks, we are also mindful of the ongoing competitive pressures on our standard product lines, which have been impacted by increased manufacturing capacity from some of our key competitors. This is causing some headwinds in the shorter term with standard product opportunities. As the macroeconomic environment evolves and we gain more visibility, we're prepared for a variety of possible outcomes. As we continue to exit lower-margin business, we anticipate our largest customer will continue to reduce their inventory position. Based on this outlook, as of today's call, for Q3 2025, we currently expect net revenue in the range of $4.8 million to $5.2 million. This concludes the financial discussion. I'll now pass the call back to Kirsten.
Kirsten F. Newquist: Thanks, Ed. With that financial context in mind, I'd like to share an update on the progress we are making under our Perform- Accelerate-Transform strategic framework. Our first pillar, Perform, is focused on strengthening and growing our core channel business. To achieve this, we are prioritizing higher margin opportunities with existing customers and channel partners, expanding gross margins by completing the transition to Thailand and focusing on executing our new product development, or NPD, pipeline with discipline. Our goal is to consistently exceed customer expectations through exceptional support and reliable on-time delivery. As we execute this strategy, we're building a solid operational foundation to ensure a competitive cost structure, adding key customer- facing roles and putting in place the processes needed to drive NPD. This work is already showing results. Our commercial team is fully in place and sales momentum is building with a 33% increase in new opportunities in our sales pipeline this quarter compared to last quarter. Our commercial efforts are strongly supported by our new marketing team. Through their dedicated work, this past quarter, we have successfully completed 22 marketing initiatives in collaboration with 10 strategic partners, including webinars, white papers, press releases and joint trade shows, driving a remarkable 300% increase in request for information from our website compared to the second quarter of last year. We believe this surge of customer interest is directly contributing to a stronger pipeline of new opportunities and will result in growing momentum for our business. As I mentioned earlier, we have completed all production in Singapore, and the site shutdown is progressing as planned. This transition to Thailand is key to expanding our gross margins. To support continuous improvement in our Thailand operations, we have launched CRM and MRP initiatives designed to automate our key processes, strengthen our operational foundation and ensure the business is scalable. Moving to the second pillar of our P-A-T framework, Accelerate. We are advancing three specific growth initiatives to build our pipeline and drive long-term revenue and margin expansion. One, expanding our BLE technology platform and multi-component, MCL, manufacturing capabilities; two, targeting growth in three health care high-value applications; and three, further driving growth in three consumer and logistics high-value applications. Beginning with BLE expansion, we are making meaningful progress. As we've discussed, BLE is a next-generation technology for IoT, providing significant benefits for applications that require real-time traceability or condition monitoring, which are challenging to address with traditional RFID technologies. Over the past several months, we have seen increasing interest in specialized BLE labels spanning logistics, pharmaceuticals and asset tracking applications. These BLE-enabled solutions not only provide real-time visibility but also generate high-frequency data streams that can be used to power AI models, unlocking predictive insights, operational optimization and automated decision-making. We have several significant BLE projects in our NPD pipeline, including the food logistics project I mentioned earlier, and in an industrial track-and-trace application, all with the potential to improve business efficiency and reduce waste through the analytics they generate. The technical demands of BLE smart label design and manufacturing play to our engineering strengths and offer a clear competitive edge. Over the past 6 months, we invested in new MCL manufacturing equipment at our Munich, Germany R&D center; expanded our engineering team with RF and software engineers; and strengthen product management capability dedicated to BLE innovation. In May, we introduced our new BLE smart labels at RFID Journal LIVE!, marking an important step towards commercialization. We are collaborating with InPlay on a new portfolio of BLE-enabled battery-powered smart labels designed for high-value logistics applications. The upcoming smart label portfolio will be powered by InPlay's IN100 NanoBeacon, an ultra-low-power BLE system on a chip, and is expected to be available late this year. A full launch of this secure scalable BLE portfolio is targeted for early 2026. We continue to work closely with Wiliot on the production of their next-generation IoT Pixels. Our teams have been actively collaborating to ensure we are prepared to support volume production for Wiliot's customers and partners in the coming months. Wiliot IoT Pixels are small, battery-free Bluetooth sensors, powered by harvesting ambient radio frequency energy, enabling continuous transmission of data like temperature, motion and location for smart supply chain and IoT applications. We are highly encouraged by the momentum building in BLE and the increasing interest from the market. The second and third Accelerate initiatives focus on driving growth across six high-value, high-volume applications, three in health care, two in consumer and one in logistics. To support these initiatives, we've expanded our business development and product management teams to drive market engagement through strategic partnerships and direct OEM relationships and to ensure our product road maps are aligned with the specific requirements of each target application. Strategic partnerships are essential to the development and deployment of solutions in these key markets. While Identiv delivers a critical component of any IoT solution, our inlays, tags and labels, customers also require robust application-specific data analytics to generate meaningful insights. Over the past 6 months, we've prioritized building relationships that complement our technology, and we'll continue pursuing partnerships where strong strategic alignment exists. In addition to IFCO, we also announced a strategic partnership with Narravero, a global SaaS platform for digital product passports or DPPs and supply chain transparency. The collaboration comes in anticipation of new EU regulations requiring DPPs, which are scheduled to go into effect starting in 2027. A DPP is a digital record that contains detailed information about a product's materials, origin, environmental impact and life cycle, enabling greater transparency and sustainability across the supply chain. By combining Identiv's NFC inlays for dynamic product data with Narravero's robust data management platform, this collaboration is intended to offer a comprehensive integrated solution that streamlines DPP deployment for companies. Based on current projections and regulatory scope, we estimate the EU's DPP framework could apply to more than 3 billion products annually across categories such as apparel, electronics and industrial goods. We believe this positions our collaboration with Narravero as a high-volume opportunity, potentially enabling Identiv to deliver millions of NFC inlays per year as DPP regulations roll out over time across multiple product categories. We're also advancing collaborations launched earlier this year, including our strategic partnerships with Novanta for medical device applications and Tag-N-Trac for pharmaceutical cold chain management. Last week in Chicago, we joined our partner, Novanta for the ADLM diagnostics industry trade show. At their booth, we showcased our combined solution for advanced diagnostics, demonstrating how Identiv's RFID tags and Novanta's ThingMagic reader technology can be integrated into diagnostic test equipment. This innovative solution allows for the seamless monitoring of test samples and medical consumables, which helps ensure accurate test results and enhances patient safety. Our strategic partnership with Tag-N-Trac combines our advanced BLE smart labels with Tag-N-Trac's RELATIVITY SaaS platform and is intended to offer pharma customers an integrated IoT solution that delivers item-level visibility and actionable insights for cold chain tracking within the pharmaceutical industry supply chain. In June, we cohosted a keynote session with Tag-N-Trac at the AIPIA & AWA Smart Packaging World Congress 2025 in Amsterdam, and we're enthusiastic about the potential opportunities in the pipeline. Turning now to the third part of our strategic framework, Transform. This pillar focuses on driving business expansion and capability growth through M&A. Our objective is to accelerate reaching EBITDA breakeven by gaining scale, broadening our product portfolio and enhancing our technical capabilities through strategic acquisitions. We continue to evaluate with our financial adviser, Raymond James, our strategic alternatives. We have also strengthened our Board and standing M&A committee with the addition of our newest Board member, Mick Lopez. As a former public company CFO, Mick brings deep expertise in M&A and corporate finance, along with a strong shareholder-focused perspective that is already proving valuable to our strategic decision-making. Starting last quarter, we began reporting several metrics to monitor our progress across our strategic objectives. Throughout this year, we will be developing our baseline, and we'll be refining our learning. Based on our findings, we intend to establish targets for these metrics in 2026. The new metrics are: One, new sales pipeline and conversion rate. This metric tracks the number of opportunities with new customers or customers we have not sold to in over 2 years. At the end of quarter 2, we had 100 new opportunities in our pipeline. This is an increase from the 75 we had at the end of quarter 1. We have converted 14% of our new opportunities to sales in the first half of the year. NPD, new product development projects. This metric tracks the number of active NPD initiatives. These projects involve the development of entirely new RFID or BLE tags, inlays or labels. As of the end of quarter 2, there were 19 active NPD projects, 12 customer-driven and 7 internally driven. Four of the customer-driven projects target health care applications and five utilized BLE technology, which represent the largest share of potential volume and steady state revenue. Three, NPD project completion. This metric captures the number of NPD projects completed within the quarter. In quarter 2, we completed one internally-driven project, the specialized new conductive adhesive that forms the critical connection between the chip and the antenna on the inlay. Finally, I would like to provide an update on our corporate governance. At the 2025 Annual Meeting held on June 10, stockholders approved the proposal to amend the company's charter to declassify the Board. Therefore, the Class II director nominees were reelected for 1-year terms and the Board's classified structure will end at the end of 2026 Annual Meeting of Stockholders, at which time all nominees for election as director will stand for 1-year terms. As a reminder, the Board previously announced plans to declassify its structure as part of its ongoing corporate governance review, which aims to better align the company's governance with best practices and enhance accountability to shareholders. In closing, while we expect the global macroeconomic uncertainty to continue, Identiv's value proposition remains strong and consistent. The long-term secular trends that are driving demand for RFID and BLE-enabled solutions remain solid. As a focused pure-play IoT solutions provider, we believe we have the right team in place to execute our P-A-T strategic framework. By reinforcing our core channel strengths, expanding through new strategic partnerships and innovative product development and working expeditiously through our transform process with our financial adviser, we believe we can create value for all of our stakeholders. With that, I'd like to open the call for your questions. Operator, please open the question queue.
Operator: [Operator Instructions] Your first question is coming from Jaeson Schmidt from Lake Street.
Jaeson Allen Min Schmidt: I just want to start with your announcement this week and thinking about this sort of opportunity in the grocery space, understanding that it's pilot testing here in 2025 and then full-scale deployment in 2026. Can you help us get a sense of the size of this opportunity longer term and when it can be impactful to the model?
Kirsten F. Newquist: Well, yes, certainly, we're really excited and pleased about this partnership, and it is a significant potential volume opportunity for us. So IFCO, they have over 400 million plastic containers that they ultimately want to get tagged. The goal is to tag all of them over the next 4 to 5 years. And then there's an ongoing opportunity because there's roughly 10% or more of those plastic containers that need to get replenished every single year. So excited about the opportunity. It is still very much an active development program. And so the goal is to be able to launch mass production in 2026, but there is always a little bit of uncertainty when you're doing a development program. It is a very innovative product. It's using a next-generation chip. There's some kind of real interesting innovation related to the manufacturing process. So all that still is being developed, but the goal will be to start mass production in 2026.
Jaeson Allen Min Schmidt: Got you. And then just curious if you could talk about sort of order patterns so far here in the first 6 weeks of the quarter.
Kirsten F. Newquist: Sure. Are you saying specifically for the third quarter?
Jaeson Allen Min Schmidt: Yes.
Kirsten F. Newquist: Yes. I mean I think the order patterns seem to be on track with the guidance that we have provided.
Jaeson Allen Min Schmidt: Got you. And then last one for me, and I'll jump back in the queue. How should we think about gross margin? I know there were some dynamics impacting it in Q2. But looking here in Q3 and Q4, how should we think about sort of the general level?
Kirsten F. Newquist: Yes. So definitely, and Ed can weigh in on this as well. But we definitely -- in the first half of the year, we were significantly impacted in our gross margin with our dual manufacturing sites, both Thailand and Singapore. And then also just some additional transition costs that we had in terms of doubling up with training and so on and so forth. So we were really happy to hit our goal or our milestone of completing production in Singapore in quarter 2, and that has been achieved. So that is done. At this point, we have a very small skeleton crew that remains to really support the shutdown. We have to pack up the final equipment and ship it off and we have to shut down the site. But we definitely expect to see a benefit for sure in the second half as we closed down the site. And then maybe, Ed, any other color?
Edward Kirnbauer: I'll agree with that. With the closing of production in Singapore, we should -- we will definitely see a positive impact on margins as we go into Q3 as well as Q4.
Operator: [Operator Instructions] That concludes our Q&A session. I'll now hand the conference back to CEO, Kirsten Newquist, for closing remarks. Please go ahead.
Kirsten F. Newquist: Thanks, operator, and thank you all again for joining us today. We appreciate the continued support of our customers, partners, shareholders and employees. In terms of investor outreach, we'll be attending the B. Riley TMT Conference in New York on Wednesday, September 10. And Lake Street will be hosting a virtual NDR on Tuesday, September 16. So thank you again for joining us this afternoon and evening, and have a nice night. Bye-bye.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.